Operator: Good morning, and welcome to the Synthetic Biologics 2017 Second Quarter Investor Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. At this time, I would like to turn the call over to Vincent Perrone, Director of Corporate Communications at Synthetic Biologics. Vincent?
Vincent Perrone: Thank you, Rocco, and good afternoon everyone. Welcome to Synthetic Biologics 2017 second quarter investor conference call. Today, I'm joined by our CEO, Jeff Riley and our CFO, Steve Shallcross. Synthetic Biologics issued a press release this morning, which provided operational highlights and reported our financial results for the quarter ending June 30, 2017. The release can be found on the Investors Relations section of our website. During our call today, Jeff will provide an operational update on our microbiome focused clinical programs and Steve will summarize our financial results. We’ll take questions after our prepared remarks. In addition to the phone lines, this call is being streamed live via webcast, which will be archived on our website www.synthethicbiologics.com for 90 days. During this call, we will be making forward-looking statements regarding Synthetic Biologics current expectations and projections about future events. Generally, the forward looking statements can be identified by terminology such as may, should, expects, anticipates, intends, plans, believes, estimates and similar expressions. These statements are based upon current beliefs expectations and assumptions and are subject to a number of risks and uncertainties including those set forth in Synthetic Biologics filings with the SEC many of which are difficult to predict. No forward looking statements can be guaranteed and actual results may differ materially from such statements. The information on this call is provided only as of the date of this call and Synthetic Biologics undertakes no obligation to update any forward-looking statements contained on this conference call on account of new information, future events or otherwise except as required by law. With that, I'd like to turn the call over to Jeff. Jeff?
Jeff Riley: Thanks Vincent, good morning everyone and thanks for joining our 2017 second quarter investor call. It continued to be an exciting time for Synthetic Biologics as several important milestones during the second quarter continue to drive our progress and momentum in and out of the clinic. A few years ago we began developing two discovery stage programs centered on ideas of what was then known about the human microbiome. In a short time we have been successful in taking both programs through proof-of-concept studies. In the same period, Synthetic Biologics has undergone significant change evolving from an early stage company focused on clinical development to a leader in pioneering translatable microbiome focused research and clinical development. Despite the clinical success we’ve enjoyed, our goal remains unchanged. To continue to develop novel, innovative and simple solutions to complex and unmet medical needs while building long-term value for our shareholders. In this pursuit we are more focussed than ever and continue to work tirelessly on the advancement of our GI microbiome focussed assets and portfolio pipeline programs. We believe more than ever that our programs have the potential to significantly improve the health outcomes for millions of underserved patients all over the world. During today’s call, we will provide a clinical update on ribaxamase, our oral enzyme designed to degrade certain IV beta-lactam antibiotics within the GI tract to protect and preserve the natural balance of the gut microbiome, from C. difficile infection, overgrowth of pathogenic organisms and the emergence of antimicrobial resistance. In SYN-010, our compound design to reduce methane production in the gut to treat the underlying cause of the symptoms commonly associated with irritable bowel syndrome with constipation. Before we dive into our clinical update, I’d like to turn the call over to Steve Shallcross, our CFO who will provide an update on our financial results for the year. Steve?
Steve Shallcross: Thanks Jeff. During the second quarter of 2017 we’ve continued to efficiently utilize our cash as we continue to deploy our capitals in support of our two lead phase 3 ready clinical programs. We remain confident in our ability to continue to manage overhead while focusing the majority of our financial and human resources on the continued advancement of ribaxamase and SYN-010. Synthetic Biologics 2017 second quarter financials were included in a press release, which was distributed over the Newswire earlier this morning. The company's 10-Q for the quarter ended June 30, 2017 was also filed with the SEC earlier today. For the three months ended June 30, 2017 general administrative expenses decreased 23% to $1.6 million compared to $2.1 million for the same period in 2016. This decrease is primarily the result of higher salary expense and related benefit costs incurred in 2016 in connection with the transition of the administrative and financial office for our Maryland headquarter along with reduced travel and legal expenses. Included in these numbers were charges related to stock based compensation of $539,000 three months ended June 30, 2017 compared to $500,000 for the same period in 2016. Research and development expenses decreased 33% to $4.8 million for the three months ended June 30, 2017 compared to $7.2 million for the same period in 2016. This decrease is primarily the result of lower ribaxamase program costs. In addition, there were reductions in our research and development activities including our SYN-010 program offset by indirect cost primarily for medical affairs. Research and development expenses include a charge of $4331,000 related to stock-based compensation for the three months ended June 31, 2017 compared to $400,000 for the same period in 2016. Other income was $2.2 million for the three months ended June 30, 2017 compared to other expense of $3.5 million for the same period in 2016. Other income for the second quarter of 2017 is due to a non-cash income of $2.2 million from the change in fair value of warrants that resulted from a decrease in our stock price from the prior quarter. Cash and cash equivalents as of June 30, 2017 remain relatively unchanged at $13.4 million, a small decrease from the prior quarter. During the quarter, we raised approximately $5.6 million in net proceeds utilizing our at-the-market facility. Future use of the ATM will depend largely on market conditions and the potential outcome from ongoing partnering discussions. Looking ahead, we anticipate cash utilization will remain relatively steady for the third quarter of 2017 due to diminished clinical cost and our ability to effectively manage our overhead expenses. At this time, I’ll turn the call back over to Jeff.
Jeff Riley: Thanks, Steve. Synthetic Biologics remains uniquely positioned amongst our Biotech peers with two late stage unencumbered and potentially best-in-class Phase 3 ready assets, targeted and addressing a largely unmet medical. We remain focused to the advancement of SYN-10 our program designed to target and treat the underlying cause of IBS-C. In previously reported studies, methane production in the gut was shown to be the primary causative factor of the symptoms associate with IBS-C. By reducing methane production in the gut, we believe, we can treat an underlying cause of the pain, bloating and constipation associated with IBS-C. Following the successful completion of phase 2 clinical trials, which demonstrate the clinically significant improvements in bowel movements, abdominal pain and bloating, we met with the FDA to discuss the path forward for SYN-10s late stage clinical development. The outcome of the FDA’s review of our phase 2 clinical data was their approval of the Phase 2b/3 adaptive design pivotal trial intended to further evaluate the efficacy and safety of SYN-010. With the foundation of our Phase 2b/3 pivotal study in place we continue to work on solidifying its infrastructure with the focus on identifying, evaluating and delivering opportunities to move this program forward in a manner consistent with the best interests of our shareholders. As we continue to evaluate and engage in ongoing discussions with several potential pharma partners, we intend to initiate this trial only a time when the requisite components of its clinical and financial infrastructure are in place to ensure its full, timely and successful completion. Switching gears now to SYN-004 or ribaxamase, our first-in-class oral enzyme designed to degrade certain IV beta-lactam antibiotics excreted into the GI tract. The presence of a healthy, robust and well balanced gut microbiome acts as a system of checks and balances to protect against the threat of infection by blocking the overgrowth of opportunistic microbes. When species of microorganisms are eliminated or sharply reduced in the gut, a byproduct of antibiotic use that worsens with more frequent antibiotic usage, this ecosystem is disrupted. The use of intravenous beta-lactam antibiotics, including cephalosporins, is an important risk factor for the development of gastrointestinal infections such as Clostridium difficile. These antibodies can be excreted into the intestine where they remain active and disrupt the balance of the gut microbiome, potentially leading to the growth of opportunistic pathogens like C. difficile and the emergence of antimicrobial resistant organisms. Ribaxamase is designed as a first line of defense against this disruption. Ribaxamase is engineered to protect and preserve the naturally occurring gut microbiome by degrading IV beta-lactam antibiotics as they are excreted into the GI tract to prevent the overgrowth of pathogenic organisms and the onset of CDI and the emergence of antimicrobial resistance. Ribaxamase is specifically formulated to survive passage through the stomach and avoid systemic absorption, which means it is expected not to interfere with the ability of the antibody to effectively fight against primary infections. In our successful Phase 2b proof of concept clinical trial, Ribaxamase achieved its primary endpoint of significantly reducing the incidence of CDI in patients compared to placebo. Patients administered ribaxamase experienced a 71.4% relative risk reduction or developing CDI versus patients receiving placebo. Results from this trial also demonstrated that patients administered ribaxamase demonstrated comparable cure rates for the treatment of primary infection compared to the placebo group. Importantly, results from this trial also demonstrated that when compared to placebo, ribaxamase significantly reduced the incidents of new colonization by vancomycin-resistant enterococcus or VRE, an organism, which does not respond to the powerful antimicrobial vancomycin. During the second quarter we announced additional supportive results from several exploratory end points from the study demonstrating ribaxamase successfully protected and preserved the naturally occurring composition of gut microbiomes from the harmful effects of IV ceftriaxone. Compared to placebo, patients receiving ribaxamase demonstrated significantly better maintenance and recovery of microbial diversity. Simply put the gut microbiome ribaxamase patients entered the study with -- was comparable to the gut microbiome ribaxamase patients exited the study with when compared to placebo. Under a contract awarded to Synthetic Biologics by the CDC, the Center of Disease Control in Atlanta, we have been examining the gut resistome or the content of the antimicrobial-resistant genes of the gut microbiome from patients in our Phase 2b clinical study with ribaxamase. DNA extracted from approximately 350 longitudinal fecal samples collected at screening and again at 72 hours following ceftriaxone treatment, were analyzed using whole-genome shotgun sequencing. The DNA sequences were then interrogated against the comprehensive antimicrobial-resistant database known as CARD to determine the AMR antimicrobial resistant genes, present in the samples at screen and again at the 72-hour time frame following ceftriaxone administration. A statistical analysis was then performed to compare the change in relative abundance of AMR genes of interest in the ribaxamase group versus the placebo group. While this represents just the first of a three stage analysis, our research identified AMR genes has significantly changed from the screening sample to the post antibiotic samples. These changes included AMR genes that significantly increased and decreased following ceftriaxone treatment. There were approximately fourfold more genes that changed significantly in the placebo group as compared with the ribaxamase group. Let me repeat that, there were approximately fourfold more genes that changed significantly in the placebo group as compared with the ribaxamase group. Among the genes that significantly increased in the placebo group, are a family of 5 beta-lactamase genes, which is consistent with the selective pressure from the ceftriaxone administered during the study. There were also several vancomycin resistant genes that increased in the placebo group, which is consistent with the significant increase in colonization by VRE seen in the placebo patients. The genes that decreased were mostly tetracycline and erythromycin resistant genes that are associated with normal gut flora. These data are consistent with ribaxamase degrading ceftriaxone in the upper GI and thus relieving the selective pressure of the antibiotics on the gut microbiome. Ribaxamase may have the added benefit of reducing the selective pressure of IV administered beta-lactam antibiotics on the gut microbiome reducing the emergence of AMR in treated patients. Stage 2 of our analysis will entail quantitative PCR to determine actual changes from selective AMR genes over time in a subset of 100 samples while Stage 3 will seek to make correlations between the AMR data from the stages 1 and 2 and the clinical data from the Phase 2b study. Upon completion of this research, we intend to present our findings to the CDC, in order to determine what role ribaxamase may potentially play in reducing the emergence and proliferation of antimicrobial-resistant organisms in susceptible real world settings. We have also been asked alongside our microbiome focused peers to participate in one of CDC's sponsored antibiotic-resistant outcomes initiatives. This particular program brings together members from government, academia and the industry to focus on the development of microbiome indices intended to better understand the world of the gut microbiome in human health. An in-person meeting is scheduled in September, where we intend to present results from our Phase 2b study for ribaxamase, including research findings generated under the CDC contract. We look forward to sharing additional data from this study focused on determining ribaxamase's ability to prevent the emergence of antimicrobial resistant organisms in the gut microbiome at several upcoming conferences. The important research and successful clinical outcomes generated from our Phase 2b clinical trial is perhaps best illustrated by the FDA's granting a breakthrough therapy designation to ribaxamase during the second quarter. Ribaxamase is the first ever development stage drug candidate to receive breakthrough therapy designation for the prevention of Clostridium difficile infection. FDA breakthrough therapy designation is intended to expedite development and review time lines when clinical evidence indicates that a drug may demonstrate substantial improvement on one or more clinically significant end points, over available therapies for serious or life-threatening diseases. Synthetic Biologics is committed to the continued clinical advancement of ribaxamase and its potential to prevent the more than 500,000 cases of CDI, which result in approximately 29,000 CDI related debt each year in the United States. Looking ahead, we have submitted a request for a Type B meeting -- a Type B multi disciplinary meeting, which we anticipate taking place towards the end of Q3. We look forward to collaborative discussions with the FDA to discuss potential options to expedite the development and review time lines for ribaxamase's clinical advancement and path towards marketing approval. Following the conclusion of our Type B meeting with the FDA, we anticipate being on with additional clarity on the late stage clinical development required for ribaxamase. We're extremely pleased and enthusiastic about the FDA's recognition of ribaxamase's potential to prevent CDI. There is a dire need to fill the current void of an approved intervention to prevent this often debilitating disease and to avoid lasting damage to patients already fragile gut microbiomes a well established side effect of strong antibiotics. Adding ribaxamase to treatment with IV beta-lactam antibiotics, represents a potential paradigm shift from the current model, where antibiotic treat the primary infection but often increases the risk for development of opportunistic infections such as CDI to a paradigm where a highly effective IV beta-lactam antibiotics can be administered with substantially reduced risk. We look forward to working closely with the FDA to move forward with this novel approach, which may directly lead to more effective and efficient antibiotic therapy. We continue to position our novel portfolio of late stage microbiome focused assets for Phase 3 development with an eye on commercialization. While the broader markets continue to flourish, rhetoric and uncertainty on drug pricing, healthcare reform and tax reform are headwinds to growth oriented companies in our sector. As we and many of our peers are with solid footing with risk to execute on strategic initiatives, we are committed to remain adaptive while manoeuvring in this precarious environment. The creation of government-sponsored programs such as the human microbiome initiatives, CDC's antibiotic-resistant solutions initiative and organizations like CARB-X emphasize the need for additional research and funding in our area of pursuit. We continue to explore such government sponsored initiatives, which we believe stay at the benefit from our cutting edge research, expertise and insight into the gut microbiome's ability to reduce the overgrowth of pathogenic organisms and the emergence and spread of antimicrobial resistance. As we move forward, we remain focused on: one, implying physical -- implying fiscal best practices, strengthening our clinical infrastructure, maintaining manoeuvrability in a rapidly shifting healthcare investment environment, and exploring and evaluating opportunities to move our lead programs forward in a manner that is consistent with the best interest of our shareholders. At this time, I'll turn the call back over to Vincent.
Vincent Perrone: Thank you, Jeff. Rocco, we'd like to open the phone line to questions. Would you please describe the procedure to ask questions for our listeners?
Operator: Absolutely. We will now begin the question-and-answer session.[Operator Instructions] Today's first question comes from Keith Markey of Griffin Securities. Please go ahead.
Keith Markey: Good morning and congratulations on the breakthrough designation. Jeff, I was just wondering if you could -- given the number of benefits that usually come with breakthrough designation status, could you allude to what you consider to be the most important of the advantages of having that.
Jeff Riley: Good morning, Keith, thanks for the question. I think that the biggest advantage is we can have multiple conversations with the FDA in an expedited manner. And there's no preset formula, if you will to having those conversations. So as we said earlier in the conference call script toward the end of this quarter, we are going to meet with the FDA for that Type B multidisciplinary meeting. We've created roughly a 35 page briefing document, which essentially has all the data that has been generated to date in that document. We'll submit that to the FDA, we'll have -- we'll go and have that discussion with them and then we'll decide together what the next steps are at that point in time.
Keith Markey: Fantastic. And then, I was just wondering, Steve can you tell us a little bit more explicitly what the cash burn rate would be for the third quarter? You had a few moving parts this time around.
Steve Shallcross: In the last quarter call Keith, our fix burn was about $1.2 million a month.
Keith Markey: Okay.
Steve Shallcross: And we can continue to experience that. In this last quarter, we had some run out cost from the ribaxamase trial that won't occur again in the next quarter here. But I would use about $1.2 million a month, this guidance.
Keith Markey: Okay, great. I’ll get back in the queue. Thank you.
Operator: And our next question comes Katherine Xu of William Blair. Please go ahead.
Katherine Xu : Yes, hi, good morning. I'm just wondering whether you could give us some color on the partnership discussions, in particular, I guess intent given that the FDA getting the green line on the Phase 2b/3 design back in January. Just curious about how that process is going? Is this a good enough of an asset to be partnered? What additional data or other things that partners might want, just to the extent that you can chat about it'll be great to get some color?
Jeff Riley: Thanks Katherine for the question. We don't want to put this in the script necessarily, but the reality is the industry as a whole has not -- there's not been a lot of deals done. So from a macro perspective, I would challenge you to find a lot of late stage deals being done, the classic licensing deals or co-development deals. They just have not been deploying capital, they be in big pharmas and the big biotechs. We are talking everybody. We are in multiple discussions on SYN-010 and ribaxamase at this stage of the game, but until the pharmas decide to start deploying capital, I think, it's tough to get a deal across the line. And to be honest, I'm not going to do a crappy deal given that we have spent a significant amount of capital to get these assets to where they are at this point in time. So I can't give you much more color on that. I can tell you that there are a lot of conversations on almost daily basis with the variety of pharmas. The feedback I've received at the bio conference a couple of months ago from Who's Who and the big guys out there, is they basically have words not to do deals up until recently, until there is clarity on the repatriation of their capital and just generally more clarity on the healthcare side of the equation. So until we have that I think we -- I don't think we you're going to see a lot of deals being done out there. SYN-010 itself is a fantastic asset. I don't know why we need to keep saying this but at the end of the day, the competitive assets are linaclotide, which is the Allergan product or LINZESS. We have Synergy's new drug out there, Trulance, which is an analog, frankly, it's a me too version of LINZESS, it's really nothing special. The majority of GI docs that we speak with they like these drugs and these are the only drugs available to treat irritable bowel syndrome, the constipation form. And our drug will be fantastic, because again, it is completely safe from what we can see. It's impacting only 1 microorganism in the gut. Lovastatin is safe, this can be. We're looking at EMA-related stuff now as well as well the FDA. It's a great product and whether it's used alone or in combination with the existing drugs, we don't know. I think there is a combination therapy, potential there as well. So we're looking forward to it. From a cash perspective, I mean let's address the elephant in the room. We did use the ATM last quarter. There is no better way for us to keep our cash in line to where we need it to be at a less expensive way to do it at this stage of the game given the markets. There's just no better way to do it. So we're not raising capital to be in crazy numbers. And to be honest, we can't raise enough capital to take SYN-010 forward ourselves at this stage of the game. So we are looking specifically for our partner and we will find one when they open up their core strengths. We have several in the queue. And then we'll go forward from there. But until that point in time, we're going to be very fiduciarily responsible, not raise a lot of money on the ATM stage, say, what I would consider within the navigational buoys and focus on ribaxamase because that is the product that we are focused on at the moment with respect to the FDA in moving that program forward.
Katherine Xu : Thank you.
Operator: [Operator Instructions]
Jeff Riley: Thanks, Rocco .The second quarter of the 2017 was one of tremendous progress for Synthetic Biologics. The granting of breakthrough therapy designation for ribaxamase for the prevention of C. difficile infection is a critical and important milestone for our company and, frankly, for public health as well. We look forward to working with the FDA on the continued advancement of ribaxamase and to sharing the outcomes from the conclusion of our Type B meeting later this year. Before we close the call, I'd like to announce that Synthetic Biologics is headed to San Diego to participate in Infectious Disease Week 2017 from October 4 through the 8. In addition, I am very proud to announce that 5 abstracts, 5, highlighting research for ribaxamase, SYN-005 and SYN-006 programs were submitting and accepted for presentation. Keep in mind that these programs are franchises or extensions of our existing ribaxamase program. You can visit syntheticbiologics.com for the dates and times and locations for each event. Members of the team will also be available at booth number 509, which is located in the exhibitor’s hall if you like to come talk to us. Again, with 2 phase 3 ready programs in clinical development, the Synthetic Biologics team is more determined than ever to continue our work of advancing our cutting edge microbiome therapies through late-stage development and towards commercialization. We're proud of the progress we've made and excited for what lies ahead. Thanks again, for joining our call and have a great day.